Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Corporation Third Quarter 2016 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, November 8, 2016. I would now like to turn the conference over to your host, Ben Ederington, Westlake's Vice President and Chief Administrative Officer. Please begin, sir.
L. Benjamin Ederington - Westlake Chemical Corp.: Thank you. Good morning, everyone, and welcome to the Westlake Chemical Corporation Third Quarter 2016 Conference Call. I'm joined today by Albert Chao, our President and CEO; Steve Bender, our Senior Vice President and Chief Financial Officer; and other members of our management team. The conference call agenda will begin with Albert who will open with a few comments regarding Westlake's performance in the third quarter 2016, followed by our current perspective on the industry. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments, and we will open the call up to questions. During this call, we refer to ourselves as Westlake Chemical. Any reference to Westlake Partners is to the master limited partnership, Westlake Chemical Partners LP, and references to OpCo refer to our subsidiary, Westlake Chemical OpCo LP who owns certain olefins facilities. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. Actual results could differ materially based upon many factors, including the cyclical nature of the chemical industry, availability, cost and volatility of raw materials, energy and utilities, governmental regulatory actions and political unrest, global economic conditions, industry operating rates, the supply demand balance for Westlake's products, competitive products and pricing pressures, access to capital markets, technological developments and other risk factors discussed in our SEC filings. This morning, Westlake issued a press release with details of our third quarter 2016 results along with the schedule of transaction-related and non-recurring items that we will be discussing in more detail. These documents are available in the press release section of our webpage at westlake.com. A replay of today's call will be available beginning two hours after completion of this call until 11:59 PM Eastern Time on November 15, 2016. The replay may be accessed by dialing the following numbers. Domestic callers should dial 1-855-859-2056. International callers may access the replay at 404-537-3406. The access code for both numbers is 96221252. Please note that information reported on this call speaks only as of today, November 8, 2016, and therefore, you're advised the time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our webpage at westlake.com. Now I'd like to turn the call over to Albert Chao. Albert?
Albert Chao - Westlake Chemical Corp.: Thank you, Ben. Good morning, ladies and gentlemen, and thank you for joining us on our earnings call to discuss our third quarter 2016 results. In this morning's press release, we reported quarterly net income of $66 million or $0.51 per diluted share. Our net sales were $1.3 billion. We're pleased to have closed our strategic acquisition of Axiall during the quarter which marks a significant milestone for our company this year which we celebrate our 30th anniversary of operation. We welcome any talented colleagues from Axiall into the Westlake family with the completion of the acquisition on August 31. We're now more than two months into the integration of our businesses and I'm pleased to see that we are collaboratively working together to identify process improvement and cost saving opportunities in all areas of the combined companies. As result of the acquisition, Westlake is now the third largest PVC producer and third largest chlor-alkali producer in the world. We remain the world's largest specialty PVC producer and the largest LDPE producer in North America. We believe this positions us well to meet increasing global consumer demand for these products. Our third quarter earnings reflect a number of transaction-related expenses and non-recurring events, many of which are related to activities pertaining to our acquisition of Axiall. Posted on our website this morning is a schedule of these expenses and non-recurring items which Steve will touch upon in more detail. If you look beyond these one-time items, you will see that the underlying fundamentals for olefins and vinyls segments show continued strength since the beginning of the year, following the decline include global crude oil prices which are lower by approximately 9% in the third quarter from levels seen in the same period last year. As global crude oil prices have recovered from the recent lows levels seen earlier in the year, the global pricing for our major products have also risen. During the quarter, we continue to benefit from good demand for olefins and vinyls products that have benefited from improving consumer spending and also from increasing construction activity. Now I would like to turn the call over to Steve to provide more detail on the financial and operating results for the quarter. Steve?
Mark Steven Bender - Westlake Chemical Corp.: Thank you, Albert, and good morning, everyone. I will start with discussing our consolidated financial results, followed by a detailed review of our olefins and vinyls segment results. Let me begin with our consolidated results. This morning, Westlake reported net income for the third quarter 2016 of $66 million or $0.51 per diluted share on net sales of $1.3 billion for the quarter ended September 30, 2016. As Albert mentioned, our third quarter results were impacted by a number of one-time items related to the Axiall acquisition and planned turnarounds and unplanned outages. Referring to the schedule we posted on our website this morning, the impact of these events that occurred in the third quarter totaled approximately $54 million after tax or $0.41 per share. Let me briefly explain these items. The first category of expense is related to the Axiall acquisition. Earnings for the quarter were impacted by transaction and integrated related cost or approximately $83 million, financing associated cost for the acquisition totaling $14 million and $16 million related to the purchase accounting adjustment required to mark up the acquired Axiall inventory to market value. Second, our results reflect the non-taxable benefit we received on the Axiall shares we purchased prior to the acquisition which were recorded as income of $49 million. Third, as I noted on our prior quarter earnings call, our third quarter results also reflected unabsorbed costs associated with the planned Petro 1 turnaround and expansion, the unplanned outage in Calvert City and other planned turnarounds totaling approximately $36 million. These planned turnarounds and unplanned outages also results in lost sales of approximately $21 million, bringing the combined impact to $57 million. Fourth, we recorded other non-recurring charges in the vinyls segment of approximately $6 million. And finally, in addition to the non-recognition of tax from the gain of the Axiall shares that we previously owned benefited from an $11 million in various tax adjustments. Therefore, if we looked at our quarter, excluding these items, the earnings would have been $0.40 higher or $0.92 per share. Net sales for the third quarter of 2016 were $1.3 billion higher compared to the third quarter 2015, mainly due to sales contributed by Axiall in September, partially offset by lower sales prices and volumes for most of our major products. Income from operations of $47 million for the third quarter of 2016 were lower than in the third quarter 2015, resulting from lower sales prices for most of our major olefins products, transaction integrated related expenses, and the effect of selling higher cost Axiall inventory recorded at market value. Income from operations in the third quarter 2016 were also impacted by lost sales, lower production rates and unabsorbed costs associated with the planned Petro 1 turnaround and expansion, and other unplanned and planned outages. Sales revenue in the third quarter of 2016 of $1.3 billion increased compared to the second quarter of 2016, while income from operations of $47 million was lower. The net increase in net sales was largely due to one month of sales contributed by Axiall in September, and higher sales price from most of our major products partially offset by lower sales volumes. Lower operating income was a result of the action and integrated related costs associated with the acquisition that I previously mentioned and the effect of selling higher cost Axiall inventory recorded at market value. Third quarter results were also affected by lower integrated olefins margins that were due higher feedstock and inventory cost and a $19 million swing in trading activity in the third quarter 2016 as compared to the second quarter 2016. For the nine months ended September 30, 2016, net income was $300 million or $2.29 per diluted share on net sales of $3.3 billion, both of which were lower compared to the nine months ended September 30, 2015. Net income for the nine months ended September 30, 2016 was impacted by pre-tax transaction and integration related cost of approximately $91 million associated with the acquisition. Financing and associated cost for the acquisition totaling $15 million and $16 million related to the purchase accounting adjustment that I mentioned. The results also reflected the pre-tax unabsorbed cost associated with the Petro 1 turnaround and expansion, unplanned outages and other planned turnarounds, totaling approximately $116 million, and lost sales associated with these planned turnarounds and unplanned outages of $23 million. This decrease was partially offset by realized gain of approximately $49 million and a lower effective tax rate that was a result of one-time items totaling $29 million. Net sales for the nine months ended September 30, 2016 were lower than reported in the prior year period as a result of lower sales prices for all major products and lower sales volumes for ethylene, polyethylene, ethylene co-products, partially offset by higher sales volumes for PVC resin and sales contributed by Axiall and Huasu, our Chinese PVC joint venture. Income from operations was $429 million for the nine months ended September 30, 2016, a decrease from the prior year period, resulting from lower sales prices for all of our major products, transaction and integration-related cost and lost sales, lower production rates and unabsorbed costs associated with the planned turnarounds and unplanned outages I previously mentioned. These decreases were partially offset by lower average feedstock and energy cost and higher product margins in our European operations. Our utilization of the FIFO method of accounting resulted in an unfavorable impact of $19 million pre-tax or $0.10 per share in the third quarter compared to what earnings would have been reported on the LIFO method. This calculation is only an estimate and has not been audited. Before we move on to review the performance of our two segments, I would like to point out that following the acquisition, the assets acquired, liabilities assumed and the results of operations of the Axiall business are now included in our vinyls segment. Now let's start by discussing our olefins segment. In the third quarter of 2016, olefins segment reported income from operations of $118 million on net sales of $497 million. These results were impacted by lost sales, lower production rates and unabsorbed cost related to the Petro 1 ethylene unit turnaround and expansion as well as other planned turnarounds during the quarter. Third quarter 2016 net sales were lower than in the third quarter of 2015 also due to lower sales prices. Compared to the second quarter, third quarter results saw a decrease of $22 million in operating income while sales increased by $3 million. The decline in operating income was partially due to lower integrated olefins margins primarily due to higher feedstock and inventory cost. Additionally, trading activity in the third quarter 2016 resulted in the $7.8 million loss compared to a gain of $11.5 million in the second quarter 2016. These decreases were partially offset by higher production rates and lower unabsorbed cost related to Petro 1 turnaround and expansion as compared to the prior period. To the nine months ending September 30, 2016, olefins segment reported income from operations of $408 million which was lower than income from operations reported for the nine months ended September 30, 2015, mainly due to reduced integrated olefins margins, resulting from lower sales prices and the impact from the planned and unplanned outages. Now moving on to the vinyls segment. The vinyls segment reported income from operations of $22 million in the third quarter of 2016 and net sales of $782 million. Our vinyls segment third quarter operating income decreased from the same period last year but they're impacted by lost sales, lower production, unabsorbed cost associated with the unplanned outages at the Calvert City facility and other planned maintenance turnaround that took place at our European facilities in the quarter. As result of purchase accounting, we marked up the inventory that we acquired from Axiall to market value. And the third quarter results were negatively impacted by the effect of selling the higher cost Axiall inventory that was previously reported at cost. The net sales for the third quarter 2016 benefited from the one month of sales contributed by Axiall in September. When compared to the second quarter 2016, operating income was lower as a result of selling higher cost Axiall inventory at market value and also lower building products margins partially offset by higher caustic sales price. Operating income for the vinyls segment for the nine months ended September 30, 2016 was $137 million which was lower compared to the nine months ended September 30, 2015. The decrease in operating income was a result of planned turnarounds and unplanned outages that I previously described and also the result of lower sales prices for our major products, partially offset by higher product margins in our European operations as compared to the first nine months of 2015. Now let's turn our attention to our balance sheet and cash flow. For the first nine months of 2016, cash generated from operating activities was $544 million and we invested $467 million in capital expenditures. At the end of third quarter, we had cash of approximately $381 million and long-term debt was approximately $3.7 billion. We will focus on prudently managing our balance sheet and maintaining investment grade ratings. Now allow me to provide some guidance following our acquisition for modeling purposes for the remainder of 2016 and into 2017. Our estimate for 2016 capital expenditures including Axiall's capital expenditures from August 31 onward is expected to be in the range of $600 million to $650 million. Our 2016 capital forecast includes spending for the acquisition of our Petro 1 ethylene unit which we completed in July and our investment in the Lotte ethylene joint venture which is located adjacent to our Lake Charles complex. It also includes early engineering work and the purchase of long lead items related to the expansion of our Calvert City ethylene unit that we announced in January. We expect to see transaction and integration related expenditures of approximately $5 million to $10 million in the fourth quarter related to the Axiall acquisition, and we estimate that our 2016 effective annual tax rate for the year will be approximately 31% and our cash tax rate will be approximately 10%. We also have a major turnaround at our Lake Charles vinyls facility planned in the fourth quarter that will impact earnings by approximately $30 million. Looking forward into 2017, we are evaluating our capital expenditure budget for next year and we will discuss this when we announce our full year 2016 results. We have scheduled our Calvert City ethylene unit turnaround and expansion for the first quarter 2017, and we expect the unit to be down for approximately three weeks. We're also planning for major turnarounds in our Plaquemine chlor-alkali unit in the first quarter lasting approximately 24 days. Our annual interest expense expects to be approximately $160 million, and our annual depreciation and amortization will be approximately $545 million. As we continue to integrate our newly acquired business, we are focusing on capturing synergies and the $100 million cost savings initiatives that Axiall previously announced. We believe we will be able to capture approximately $100 million in annual synergies within the next two years. For 2017, we anticipate we'll be able to capture approximately $70 million in synergies while spending $20 million to achieve these synergies. With that, I will now turn the call back over to Albert to make some closing comments. Albert?
Albert Chao - Westlake Chemical Corp.: Thank you, Steve. Overall, our third quarter results were good, although the results were impacted by several items related to the acquisition and the other one-time events, including planned and unplanned outages. We saw improving fundamentals from the beginning of the year as we benefited from higher integrated product prices and margins and good demand for olefins and vinyl products. We continue to see improving future demand growth for our chlor-alkali and PVC products with consumer demand forecast to increase over the next several years as construction spending and global economies continue to recover. As a global leader in the chlor-alkali and vinyls market, we believe that we are well positioned to benefit from this recovery and to continue to benefit from our low cost position compared to the rest of the world. As we integrate Axiall into Westlake, we remain focused on efforts to align our business operations and to identify areas of best practice and cost reduction. We're working toward implementing synergy opportunities that will improve the financial performance of the combined organizations that make up the new Westlake. To-date, we have identified $100 million in annual run rate synergies that we expect to be able to achieve within the next two years. And we'll continue to look for even more value. We are currently evaluating opportunities to improve the operational and financial performances of these acquired assets which will require incremental investments in the maintenance and reliability of our operations, which we believe will lead to bottom line improvement in the financial performance of our business in the future. We're very pleased with efforts over the last two months to drive the value of putting these two businesses together. We look forward to reporting our future results. Thank you very much for listening to our earnings call this morning. Now I turn the call back over to Ben. Ben?
L. Benjamin Ederington - Westlake Chemical Corp.: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting two hours after we conclude the call. We will provide that number again at the end of the call. Christie, we are now prepared to take questions.
Operator: Thank you. Our first question is from the line of James Sheehan of SunTrust Robinson. Your line is open.
James M. Sheehan - SunTrust Robinson Humphrey, Inc.: Good morning. Thanks for taking my question.
Albert Chao - Westlake Chemical Corp.: Good morning.
James M. Sheehan - SunTrust Robinson Humphrey, Inc.: So when you think about the synergy opportunity that you've got with Axiall, you're talking about $100 million run rate over two years and as you've had an opportunity to look at the Axiall operations this past quarter, do you see any scope for upside there and could you also talk about – could you try to quantify what type of investment you might make in Axiall's facilities in order to upgrade them?
Mark Steven Bender - Westlake Chemical Corp.: Jim, good question. As I mentioned in my prepared remarks, we've already started our work to achieve these synergies that I know that we've spent about $20 million that we expect and achieve $70 million of synergy. And I expect that number to continue to improve toward that $100 million target that you mentioned. And as Albert noted, we will also look for additional value in synergies. As you can imagine, we won't just stop at the $100 million number. As it relates to future expenditures, we're assessing those today. And certainly, as we do – as we work through our 2017 capital budgeting plan, we'll be looking for those kind of opportunities and be able to speak more clearly to those after we've approved the 2017 budget and we'll talk about that when we get to our fourth quarter results in February. I don't have a number for you today.
James M. Sheehan - SunTrust Robinson Humphrey, Inc.: Great. And in terms of your building products business, you talked about a little margin pressure there. Could you talk about what is causing that margin pressure and what's your outlook for building products margins going forward?
Albert Chao - Westlake Chemical Corp.: Certainly, as you know, we have increased our PVC price by $0.02 a pound in October. And we're heading into the winter season where demand typically are lower for building products and we have to pass through the past increase of PVC weather increase. But as you know – as you may know, the export price of PVC has improved greatly especially in Asia. So we see a reasonable chance for the price increase to improve and as well as for the building products.
James M. Sheehan - SunTrust Robinson Humphrey, Inc.: Great. And last question if I may, could you talk about the expansions of capacity in polyethylene? I think most of them are in different rates than you're directly exposed to. But how do you see your relative position in the industry as those expansions unfold?
Albert Chao - Westlake Chemical Corp.: Certainly, takes 1 pound of ethylene to make 1 pound of polyethylene. And with the ethylene expansions, fair amount of polyethylene capacity has been added in the U.S. And primarily, the new capacity are in high density linear low. There are some in LDPE and as well as these are very large plants. We anticipate that these plants will focus more on the large volume commodity grades and for Westlake 60% of our polyethylene is LDPE which has a higher margin than typical linear low high density. And we also – 80% of LDP are auto sales. So the auto sales tend to have a higher margin because of the Specialty products they make than the tubular LDPE. So we'll be focusing more on the specialty area of the polyethylene business.
James M. Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you very much.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question is from the line of Don Carson of Susquehanna. Your line is open.
Don Carson - Susquehanna Financial Group LLLP: Yes, thank you. Just wondering whether you scaled back the Axiall facilities on the VCM side in September, whether you're planning to do so in Q4 given the squeeze from running those units on purchased ethylene. And can you also talk about your caustic realizations, how much they were up in the quarter and what your typical lag is in terms of achieving caustic price increases?
Albert Chao - Westlake Chemical Corp.: Certainly. According to rates (26:27) reported IHS, that's probably $40 a pound – a short ton of caustic price that was effective in the third quarter of 2016. And as some of our pricing, some monthly, some are quarterly. And as the terms of the contract allows, we'll be getting these price increases.
Don Carson - Susquehanna Financial Group LLLP: And can you comment on your VCM operations, how you're running those? And then as you look out over the next few years, to the extent you're not able to get cost of (27:02) service ethylene, will you be continuing to run those at reduced rates?
Albert Chao - Westlake Chemical Corp.: Well, actually, ethylene price as we speak has come down from the height we see in the third quarter and today's $0.24 a pound and so it's quite competitive. It's much lower than ethylene prices in Europe and Asia. So I think U.S. will be well positioned to have a low cost position to supply VCM in the U.S. or overseas.
Don Carson - Susquehanna Financial Group LLLP: Okay. And then final question, as you've reviewed the Axiall assets and integrate them into Westlake, are there any potential capacity rationalizations you would see, particularly on the chlor-alkali side?
Albert Chao - Westlake Chemical Corp.: Certainly, we'll evaluate all our businesses and performances. But as of now, we do not see any – have any plan to curtail capacities for our chlor-alkali assets.
Don Carson - Susquehanna Financial Group LLLP: Thank you.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question is from Kevin McCarthy of Vertical Research Partners. Your line is open.
Matthew DeYoe - Vertical Research Partners: Hi. This is Matthew DeYoe on for Kevin.
Albert Chao - Westlake Chemical Corp.: Hi, Matthew.
Matthew DeYoe - Vertical Research Partners: Just a quick one. Hi, Albert. Just a quick one for you. So, in regards to the billion pound short ethylene position you have post the completion of the new Lotte JV and the option exercise, how quickly will you look to close the shortfall and how do you balance that out given your natural inclination to be maybe 100% vertically integrated with the expectation of oversupply that's kind of common in the ethylene industry over the next few years?
Albert Chao - Westlake Chemical Corp.: That's a good question. In the past, we have acquisitions where we're long ethylene or short ethylene and sometimes better be short ethylene than long depending on the market conditions. And certainly (28:53) we'll be evaluating various opportunities whether to de-bottleneck further, using ethylene plant or the new joint venture plant. Typically, new plants can also be de-bottlenecked. And we'll look at other types of joint venture, potential acquisitions or just plain purchase whether it's on a formula basis or market price basis.
Matthew DeYoe - Vertical Research Partners: Okay. I guess as a follow-up, I mean do you have any comments on your willingness to pursue other M&A opportunities at this juncture, just especially as it relates to my first question given the assets we have on the block?
Mark Steven Bender - Westlake Chemical Corp.: Yeah, this is Steve. I think the answer is, is that as we see valued opportunities, we'll certainly look at those very closely. And again, it boils down to what the particulars are of that particular opportunity. But I would say that anything that looks of real value to us where we can find incremental value, we certainly will pursue that with interest.
Matthew DeYoe - Vertical Research Partners: Okay. But within the construct of your investment grade credit rating, we shouldn't see you as constrained, I guess?
Mark Steven Bender - Westlake Chemical Corp.: Well, back to my earlier comment, I think you're going to see us look at keeping that investment grade rating. But as I mentioned earlier, we have a variety of levers that we can work with and still pursue opportunities and still keep that investment grade set of metrics.
Matthew DeYoe - Vertical Research Partners: Perfect. Thank you.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question is from Hassan Ahmed of Alembic Global. Your line is open.
Hassan I. Ahmed - Alembic Global Advisors LLC: Good morning, Albert and Steve.
Albert Chao - Westlake Chemical Corp.: Good morning, Ahmed.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Hassan I. Ahmed - Alembic Global Advisors LLC: Guys, on the PVC side of things, obviously, you guys talked about some near term pricing momentum building. Just broadly speaking, in terms of sort of some of the trends that you are seeing, particularly as they relate to the cost curve, obviously, we've seen coal prices rising, carbide – and ethylene prices aren't as high as they used to be. So could you just give me a sense of what to expect from a pricing perspective in this new Asian coal price regime that we are seeing? I mean is it supportive of further price hikes, call it, through the course of 2016 into 2017?
Albert Chao - Westlake Chemical Corp.: That's a good question. As we are seeing the things that G20 meetings in Shanghai in China recently, that the Chinese government and Chinese market have been turning down (31:18) high CO2 emission area, so just coal-fired power plants. So we are seeing a higher increase in coal prices, a reduction in production of PVC and caustic I think we'll have – we'll be benefiting both from higher PVC price in Asia, in China and possibly in the U.S. as well as higher caustic prices and less imports from Asia to the West Coast of the U.S. where we have a chlor-alkali plant. So, in fact, we don't know how long the Chinese government would enforce this reducing carbon emissions. But if they continue to do so, which we hope that will the case, and then our industry and Westlake should benefit from those actions.
Hassan I. Ahmed - Alembic Global Advisors LLC: Very good. Now, as a follow-up on the olefins side of things, obviously much debate about the future of NGL pricing, particularly as more and more of this North American ethylene capacity comes online. And one of the sort of often cited arguments that I hear is that regardless of how tight ethane may get, there's a very natural relief on the propane side of things, right. So a lot of capacity in a switchover from ethane to propane. So my question really is, as I take a look at a lot of the new greenfield capacity that's expected to come online in the U.S., a lot of it seems to be ethane only. So the question is, is there enough sort of capacity out there in the U.S. market overall for it to be able to switch over to propane if that is the sort of more attractive feedstock for there to be sort of a reason to consider propane as a relief valve in that sort of an environment?
Albert Chao - Westlake Chemical Corp.: That's a good question also. I think that today, U.S. is learning about 70% of its ethylene production from ethane and I think propane is about 15% and the rest is butane right after. I think that because of some of the older existing crackers, there have been heavy crackers of naphtha as well as propane. We believe certainly to improve the propane position above 15% maybe to 20% or even higher. If there's a need, people – smart engineers will find a way to work. But as of now, I think the ethane is still preferred feedstock and we expect to continue to be sold for several years going forward for the propane.
Hassan I. Ahmed - Alembic Global Advisors LLC: Very good. Thank you so much.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And our next question is from the line of Arun Viswanathan of RBC Capital Markets. Your line is open.
Arun Viswanathan - RBC Capital Markets LLC: Good morning. Thanks.
Albert Chao - Westlake Chemical Corp.: Good morning.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Arun Viswanathan - RBC Capital Markets LLC: I guess the first question is on the chlor-alkali side. I just wanted to understand the earnings sensitivity now. Would it be proper to assume that now is potentially over 3 million tons of capacity? There's been over $50 or so a ton achieved on the caustic side that you'd see a potential $150 million improvement in EBITDA next year if we were to hold on to all those increases?
Mark Steven Bender - Westlake Chemical Corp.: No. I think, Arun, that's – the math is right and I think the issue is, as we march forward, you've seen I think a better balance to market both in the Americas as well as in Europe where you've seen ourselves and others speak to the regulation that is really bringing more rationalization of mercury-based production of quarrying there. And I think what you're seeing really in the Northern Hemisphere, as Albert noted and Hassan just a moment ago about what's happening in Asia, a better balanced overall market in the entire Northern Hemisphere, Asia, Europe and the Americas.
Arun Viswanathan - RBC Capital Markets LLC: Right. I guess my concern is that there have been a lot of increases announced, and they're reflected in the index but very little of that is actually being reflected in the results. So I'm just trying to understand why that is the case and if you've seen an increase in either discounting or lags on your sales.
Albert Chao - Westlake Chemical Corp.: Yeah, I think as I said earlier, some contracts for us are short-term monthly, some are quarterly. So something takes pretty longer to achieve. I think that the trend is that the – with the – other than the announced expansions coming and finishing this year, early next year, there's no more new capacity added in the U.S. for chlorine. And with the – Steve mentioned about a reduction in mercury chlor-alkali production in Europe end of next year plus the reduction in Asia and China primarily that we'll see the operating rates for U.S. chlor-alkali productions improve from the normally 80%s to the high 80% or even 90% over the next several years. And that should help the U.S. chlor-alkali industry going forward. The global demand for caustic is still increasing, putting half to one times GDP and with the lack of new capacities, it should help out the U.S. chlor-alkali production.
Arun Viswanathan - RBC Capital Markets LLC: Okay. Thanks. And then, on the...
Albert Chao - Westlake Chemical Corp.: You're welcome.
Arun Viswanathan - RBC Capital Markets LLC: ...olefin side, you do have a couple nominations for price declines over the next couple months. How do you see the polyethylene pricing shaping up, picture shaping up over the next quarter or two especially some of the capacity that's been offline earlier in the year comes, restarts and then more capacity is added next year.
Albert Chao - Westlake Chemical Corp.: Certainly, as you know that the industry had a $0.05 a pound price increase in September and stays flat in October and there's industry consultant is saying that there potentially could be reduction November, December in polyethylene prices. But if you're looking at the demand domestically, it's quite strong and export demand is quite strong. The pricing export are also good. So we see a very strong global demand for polyethylene and if prices do go down because of the year end inventory adjustments, know that we don't see that as a long-term basis. Now next year, some of the new capacity could be coming out of second half of next year which will may have impact on prices in the U.S. probably but also depending on the crude oil prices. If crude oil prices does improve further next year, it will make U.S. ethane based integrated polyethylene manufacturers much more competitive and may or may not have that impact in the U.S. market.
Arun Viswanathan - RBC Capital Markets LLC: And just the last question if I may. You spoke earlier about the advantages of being long or short ethylene at different times, I guess what is your preference over the next couple years? Would you be willing to kind of lock in volumes at cost base prices or how do you think you're going to be approaching the ethylene side of your supply? Thanks.
Albert Chao - Westlake Chemical Corp.: Certainly, right now until the Lotte joint venture startups in 2019, Westlake will be buying possibly 1.8 billion tons of ethylene. And almost all of that goes into our Axiall vinyls business. So, if ethylene is oversupplied in U.S. without capacity for ethylene exports, then ethylene price could stay low, which will be beneficial to Westlake and the vinyl industry, which purchase fair amount of ethylene in the merchant market to be more competitive compared to rest of the world.
Arun Viswanathan - RBC Capital Markets LLC: Great. Thanks.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question is from Robert Koort of Goldman Sachs. Your line is open.
Unknown Speaker: Yeah. Thanks for taking our questions. This is Chris (39:56) on for Bob.
Albert Chao - Westlake Chemical Corp.: Hi, Chris. (39:57).
Unknown Speaker: Could you give us the impact Axiall had on volumes in the vinyls segment and in the EBITDA during the third quarter?
Mark Steven Bender - Westlake Chemical Corp.: As it relates to how we're going to be reporting our business, as I mentioned earlier, we're going to have our two segments, the olefins and vinyls segment, and we don't expect to be breaking out subdivisions of those segments on a go-forward basis. So, as we go forward, we're not going to be reporting the Axiall results or any other acquisition that are embedded in that vinyls segment. As you can imagine, we only have one month of contribution of Axiall. So it's a relatively small contribution in that third quarter.
Unknown Speaker: Got you. And I guess looking into the next year, what's the maintenance schedule looking like in 2017? And what's your best guess at what the impact might be?
Mark Steven Bender - Westlake Chemical Corp.: So I gave – yeah, in my prepared remarks, I gave you kind of an outline of what we saw as major planned events as we get into 2017. And as we look at our turnaround schedule, we'll call out major turnarounds or major outages as we march forward. But I did mention that we'd have price went down as we – as I noted for 24 days in my prepared remarks. But as we get forward into 2017, we'll give some guidance on those more than normal run rate of outages for the major events. Obviously, given the number of units we have, there's always something going through maintenance on a regular basis these days.
Arun Viswanathan - RBC Capital Markets LLC: Appreciate it. Thanks for your time.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question is from John Roberts of UBS. Your line is open.
John Roberts - UBS Securities LLC: Thank you. Steve, you gave full year amortization and depreciation estimates of $545 million. Does that include the full step up from Axiall?
Mark Steven Bender - Westlake Chemical Corp.: It does.
John Roberts - UBS Securities LLC: It does. And then, secondly, I don't know if you want to answer it on this call or later, but where are you with the IRS on WLKP right now?
Mark Steven Bender - Westlake Chemical Corp.: Well, the answer is we're all waiting for the IRS to come out with their final regulations as I think has been well discussed in the marketplace. Kirk Wilson (42:08) who's the Associate General Counsel of this service said there would be something out prior to Labor Day. And obviously, he did not make that timeline. He has since said, subsequently, that he hopes to, this is a comment he made at the MLP Association Meeting in DC about a month-and-a-half ago, he said he hoped to see something issued prior to the end of the year And I think he's still hoping to be on that track. And that still our expectation, but we have no other news other than what he's made public in his public comments. And so we hope there is something coming quite soon.
John Roberts - UBS Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question is from Jeffrey Zekauskas of JPMorgan. Your line is open.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi, good morning.
Mark Steven Bender - Westlake Chemical Corp.: Good morning, Jeff.
Albert Chao - Westlake Chemical Corp.: Good morning, Jeff.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: You spoke of reducing the Axiall cost by $100 million. Did you also speak of a separate cost reduction program that Axiall had that was also $100 million or is $100 million the number you're shooting for?
Mark Steven Bender - Westlake Chemical Corp.: So, Jeff, what we referred to are two buckets that are both – happen to be $100 million. One is the synergy number which is a cost reduction related synergy number that comes from combining the two businesses. The second is a profit improvement plan that Axiall had initiated prior to our acquisition of the company which is $100 million. And certainly, we expect, as I noted, to achieve those savings in 2017 while we work toward the synergy number which as we said would be probably a two-year run rate to achieve those.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: So you're trying to achieve roughly $170 million next year if you combine the two programs?
Mark Steven Bender - Westlake Chemical Corp.: That would be right.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. What's the status of the Eastman pipeline dispute? Is that all over with or is it still carrying on?
Mark Steven Bender - Westlake Chemical Corp.: The tariff has been I think resolved and was publicly discussed, and we still remain in a court kind of setting really for the directional flow of the ethylene and the pipeline.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. When you look at the elevation in Asian PVC prices, what do you attribute it to?
Albert Chao - Westlake Chemical Corp.: So about which products?
Jeffrey J. Zekauskas - JPMorgan Securities LLC: You were speaking of PVC prices moving up in Asia and I was wondering why you thought they were moving up?
Mark Steven Bender - Westlake Chemical Corp.: Well, we've seen certainly as you heard us speak earlier about thermal coal has moved up. And what we've seen there is it's moving kind of a cost structure higher. And certainly as Albert noted earlier, we've also seen a sustained level of both growing global demand. And so I think those two have coupled together to provide both a higher cost structure and a continued growth in demand. I don't know, Albert, if you wanted to add?
Albert Chao - Westlake Chemical Corp.: We also see less production of carbide-based PVC in China. Hence, the demand for imported PVC has increased.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Thank you so much.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question is from the line of Frank Mitsch of Wells Fargo Securities. Your line is open.
Frank J. Mitsch - Wells Fargo Securities LLC: Good morning, gentlemen.
Albert Chao - Westlake Chemical Corp.: Good morning.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Frank J. Mitsch - Wells Fargo Securities LLC: Steve, I wanted to come back with the comment regarding targeting investment grade rating and you said you had multiple levers to pull. How should we think about the goals on reducing the leverage that you have or conversely how high of an amount for the right property would you be able to spend and still maintain that investment grade rating? How should we think about Westlake's targeting of that investment grade rating and on both raising it or lowering it?
Mark Steven Bender - Westlake Chemical Corp.: Yeah. And so, Frank, when you think of the investment grade rating, don't think only of leverage per se. Really also think in terms of free cash flow. And so when you think in terms of the various metrics that the agencies, Moody's, Fitch and S&P, all speak of, obviously, leverage is one of those. But there are a variety of other metrics of free cash flow. And so, as we think about our efforts to keep an investment grade rating, that's certainly our focus to delever and that's a focus that we'll have as we move forward. But obviously, should there be opportunities that come forward that look interesting to us, those opportunities bring cash flow associated with them and so some incremental ability to lever that cash flow. And so you needn't only look at the existing cash flows of Westlake but the cash flows of the combined Westlake and whatever opportunity that might be. So you have to look at the additive effect of what that opportunity is, and therefore, the leveragability of the combined transaction.
Frank J. Mitsch - Wells Fargo Securities LLC: All right. So delevering is the first priority. However, you'd be willing to enter into another transaction and factoring in the cash flow that's going to be coming from whatever unit you acquire to maintain that investment grade rating. But it's – and it's tough to divine (47:28) a metric in terms of how large you could stretch to maintain that because I guess you don't know the free cash flow of the properties, is that basically the answer here?
Mark Steven Bender - Westlake Chemical Corp.: Yeah. And I think when you look at Moody's, S&P and Fitch, they all have slightly different criteria in terms of how they define leverage. And so I look to those metrics as really the guide post rather than us setting a particular measure. Because those, as you know over time, have evolved and changed. And so I look to Moody's, S&P and Fitch in terms of their metrics, and those are the ones we look toward in terms of achieving and demonstrating to them that we are investment grade today and continue to work toward keeping a strong investment grade set of metrics. But as I say, any opportunity that presents itself likely will bring cash flows, and certainly, we would add those to ours in terms of how we think about the overall leveragability.
Frank J. Mitsch - Wells Fargo Securities LLC: All right. Great. Thank you.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question is from Matthew Blair of Tudor, Pickering, Holt. Your line is open.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning, Albert and Steve.
Mark Steven Bender - Westlake Chemical Corp.: Good morning.
Albert Chao - Westlake Chemical Corp.: Good morning, Matthew.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: I had a question on your JV cracker project with Lotte. Is the 2019 start date and the $1.9 billion cost, are those still good assumptions? And then just in general, how excited are you about this project? Would you expect that at this point to take down the 50% stake or would you expect to stay at the 10% stake?
Mark Steven Bender - Westlake Chemical Corp.: So, as it relates to the project cost, the project is a project that does not have a – it's not a lump sum turnkey type structure. And so while we have a commitment at 10% with a cap on our commitment as you noted, we do have an option to step our interest from 10% to a higher percent all the way up to 50% of our choosing, depending on what we see the capital cost eventually to be. And that option is available to us up to three years post completion of the unit. So up to 2022, I guess, with the completion of 2019. So we'll assess the opportunity set that that creates for us. As Albert noted, look and see how we think about ethylene and the price to acquire ethylene over the time period.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Sounds good. And then for the European chlor-alkali market, I think there's some news today that a couple more plants are converting over to membrane before the 2017 deadline. And so now it looks like about half the plants are going to be switching over. Is this all in line with your thinking with what you would have expected a couple years ago? Is it better? Is it worse? Has anything changed on caustic for you going forward?
Albert Chao - Westlake Chemical Corp.: Yeah, I think some analysts are saying it's between 800,000 tons to 1 million tons of net capacity to be taken out. And time is short because conversion takes some time, and it's the end of the 2017. People needs to shut down the mercury grade chlor-alkali.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Thank you very much.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Mark Steven Bender - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. Our next question is from Kevin McCarthy of Vertical Research Partners. Your line is open.
Matthew DeYoe - Vertical Research Partners: Hi, again, it's Matt. It's just a follow-up or just another question if I can squeeze one in. Was just interested in your long-term strategy for the building products business as it currently stands just given the size of the business versus the overall company, kind of seem like you either use it as a platform for growth or you kind of monetize it. Just wondering what you – how you think about it?
Albert Chao - Westlake Chemical Corp.: Well, it's a business that's integrated to the vinyls business. And the legacy Westlake has a pretty strong building product business. And now combined with the Axiall legacy building product business, we are one of the major players in the U.S. market. So we'll evaluate all the businesses within the building product business and we will see what a value it is – was to Westlake versus the market. I know that Axiall went through an exercise trying to sell the business. So we are aware of other people's interest and we'll be evaluating, as I said, the value to Westlake versus other people's valuation. But I think right now, we are quite comfortable with the business going forward being an integrated business with our vinyls business.
Matthew DeYoe - Vertical Research Partners: Okay. Thank you, Albert.
Albert Chao - Westlake Chemical Corp.: You're welcome.
Operator: Thank you. And that concludes our Q&A session for today. I'd like to – I'll turn the call back over to Mr. Ben Ederington for any further remarks.
L. Benjamin Ederington - Westlake Chemical Corp.: Great. Thank you. Thank you for participating in today's call. We hope you will join us for our next conference call to discuss our fourth quarter and full year 2016 results. Have a good day.
Operator: Thank you for participating in today's Westlake Chemical Corporation Third Quarter 2016 Earnings Conference Call. As a reminder, this call will be available for replay beginning two hours after the call has ended and may be accessed until 11:59 PM Eastern Time on Thursday August 4, 2016. The replay can be accessed via the following phone numbers. Domestic callers should dial 1-855-859-2056. International callers may access the replay by dialing phone number 404-537-3406. The access code for both numbers is 96221252.